Operator: Good afternoon, ladies and gentlemen, and welcome to the Altus Midstream Company's Second Quarter 2021 Earnings Call. . I would now like to turn the conference over to your host, Mr. Patrick Cassidy.
Patrick Cassidy: Good afternoon, and thank you for joining us on Altus Midstream Company's Second Quarter Financial and Operational Results Conference Call. We will begin the call with an overview by Altus Midstream's CEO and President, Clay Bretches; and Ben Rodgers, CFO, will summarize our financial performance and outlook. Our prepared remarks will be approximately 10 minutes in length, with the remainder of the call allotted for Q&A. Remarks during the call may also refer to the Altus Midstream investor presentation, which can be found on our Investor Relations website at altusmidstream.com/investors. On today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the investor presentation posted yesterday on the Investor Relations website previously noted. Finally, I'd like to remind everyone that today's discussion will contain forward-looking estimates and assumptions based on our current views and reasonable expectations. However, a number of factors could cause actual results to differ materially from what we discuss today. A full disclaimer is located with the investor presentation on our website. With that, I will turn the call over to Clay.
David Bretches: Good afternoon, and thank you for joining us today for Altus Midstream's Second Quarter 2021 Conference Call. As noted in the news release issued yesterday, we continue to make very good progress on the key performance metrics that we've guided to for the year. In both our joint venture pipeline and gathering and processing businesses, we have noteworthy accomplishments that contributed to improved results in the second quarter, which we expect will continue to provide benefits going forward. With the Permian Highway pipeline commencing service in January, our growth capital obligations have decreased substantially. The positive impacts from this are readily apparent in the higher earnings and improved cash flows realized during the second quarter. For the second consecutive quarter, we are cash flow positive. We paid our second cash dividend in June. And this week, the Altus Board of Directors declared another quarterly dividend of $1.50 per share, which will be distributed at the end of next month. Gathered and processed volumes increased from the first quarter as 5 new wells were brought online at Alpine High. We continue to execute very well, maintaining cost discipline while operating safely and conscientiously. These and other financial and operating highlights support an improving outlook for Altus, and we have adjusted our annual guidance to reflect our strong performance for the first 6 months of 2021 and positive expectations for the remainder of the year. I'll now move on to our business review. Compared with prior periods, the second quarter was stable across the board. We have no lingering impacts from the February freeze-off or other weather incidents. In fact, the credit we received in the first quarter for power that we did not use has been adjusted upwards. We continue to monitor COVID-19 and its variants. While the pandemic persists and still affects demand for hydrocarbon products, we have not yet experienced any material impacts directly affecting our operations. Protocols remain in place to minimize potential exposures among team members and contractors working at Altus facilities. In our JV pipeline business, our natural gas pipeline projects, Gulf Coast Express and the Permian Highway, continued their steady strong performance. Cash distributions to Altus are in line with our forecast. At the Shin Oak NGL pipeline, volumes were up from the first quarter. Improved levels of ethane recovery contributed to the increase. We do see the potential for additional upside to our forecast with increasing rig and completion activity in the Permian Basin and Rockies. Shifting now to our gathering and processing business. I'll begin by recognizing the team for an exemplary ESG performance. We completed the first half of the year with no injuries and no vehicle incidents. In April, we celebrated a milestone of 2 years without a recordable injury. Flaring intensity and unplanned gas releases are both down significantly from the prior year. This includes operational impacts from the extreme 9-day weather event experienced in February. Our team at the Diamond cryogenic complex has built a strong relationship in the community. This includes working closely with staff at the McDonald Observatory to preserve Dark Skies for scientific research, as well as supporting numerous initiatives in Reeves County for the benefit of people who live, work and visit in the area. Other communities supported this year has included scholarships for Balmorhea ISD students attending technical schools and colleges, equipment and other donations for local fire departments and sponsorships for agricultural education and 4-H students. We are committed to being a preferred partner. Moving to operations. Gathered volumes increased from the first quarter. We had no significant weather-related downtime, and Alpine High began flowing 5 DUCs into our system in May. Apache reported that performance from these wells is exceeding expectations. Altus' cost to connect the 5 wells were de minimis, approximately $50,000 for the entire pad. Overall, gathered and processed volumes for the year are forecast to be higher due to the flattening of decline at Alpine High. For the 8th consecutive quarter, operating expenses are lower than the preceding period. Our team in the field has been impressive and deserves recognition for this accomplishment, as it was made as we increased activity, which contributed to higher adjusted EBITDA for the period. Operating costs are on track for at least a 15% year-over-year reduction. The Altus business model is performing well. We're seeing stable steady cash flows being generated by our assets. In the field, we are operating safely and protecting the environment. This strong execution is a primary reason we are revising our guidance upwards. On that note, I will turn the call over to Ben to discuss the financial side of the business.
Ben Rodgers: Thank you, Clay. In my prepared remarks, I will review Altus Midstream's financial performance for the second quarter and comment on our improved outlook and its impact on our guidance for the year. As noted in the press release issued yesterday, Altus reported net income including noncontrolling interest of $74 million for the second quarter. This includes approximately $31 million related to an unrealized embedded derivative gain for the quarter, which reflects a technical accounting revaluation of the embedded derivative in our preferred units for the period. Adjusted EBITDA was $69 million and growth capital expenditures were approximately $3.6 million. Among the milestones for the quarter, I would note that in addition to achieving our second consecutive quarter being cash flow positive, it is also our first quarter to be cash flow positive after the dividend payment. Gathered volumes increased 3% from the preceding period, averaging 447 million cubic feet per day, of which approximately 74% was rich gas. Our results benefited from numerous factors, including improved operational uptime during the quarter as there were no material weather events, continued cost discipline and lower growth CapEx now that Permian Highway is fully in service. I'll move on now to our revised outlook for 2021. We provided updated guidance in the investor presentation posted on the Altus website yesterday, and I want to highlight a few of those items. Our gathered volume outlook has been adjusted upwards and is now 415 million to 430 million cubic feet per day, with the percentage of rich gas now expected between 70% to 75%. This reflects the encouraging early performance of the 7 new wells brought online at Alpine High during the first half of the year and strong execution across our facilities. These higher G&P volumes are prompting a $10 million increase to the midpoint of our adjusted EBITDA guidance. The new range is $260 million to $270 million. With Permian Highway construction and start-up complete, our growth capital obligations for the remainder of the year are minimal, and we are trending toward the lower end of our previous guidance range of $30 million to $40 million. Altus has a strong liquidity position, and we continue to focus on the balance sheet. Our priorities remain efficiently refinancing the preferred and supporting our strong dividend payout. I'd also like to highlight that in June, Altus was added to the Russell U.S. indices. This followed the company's inclusion into the Cushing Midstream index in May. These index listings recognize Altus Midstream's performance over the past year and increase the company's exposure to a broader range of investors. Overall, we had a very good quarter and expectations for the year remain constructive as we are outperforming across the board. Operator, that concludes our prepared remarks. We can now move on to Q&A.
Operator: . You have a question from the line of Spiro Dounis with Credit Suisse.
Charles Bryant: This is Chad on for Spiro, just one for me. It looks like the DUC completions supported volumes in 2Q '21 on the G&P side. Looking forward, it sounds like APA's activity in the Alpine High will slow. Are there any growth opportunities not in the backlog yet that, if realized, do you expect to meaningfully stem the natural G&P volume declines? And just generally, how are conversations developing regarding growth, given the current natural gas price environment and more focus shifting to producers' 2022 production outlooks?
David Bretches: Yes, Chad. This is Clay Bretches. And the answer to your first question related to the decline and the added throughput from the DUCs. Yes, we did see contribution from the DUCs, but we'll also say that we saw a flattening of the curve from the existing baseline of the Alpine High production before the DUCs, those wells that were not part of the DUCs. So that's encouraging to us because it's not as steep of a decline as what we had forecast. We were able to, as you can see, improve our guidance on our forecasted volumes as we go forward. As far as additional activity in the area, we're seeing other producers' activity increase. We're seeing rigs in and around the area, an uptick in the number of rigs not only in the Delaware Basin, but in the immediate area, which is very encouraging. We also heard on Apache's call today, that they were exceedingly happy about the performance of the DUCs - of the 5 DUCs that came on in May and that they were exceeding expectations. And that they would be competing for capital in the - as Apache makes decisions going forward about its portfolio. So it will be in the conversation with other investment opportunities, including the oil opportunities in Apache's portfolio. So we think that's very encouraging. Nothing has been committed yet in terms of capital, but we're glad that Alpine High is in the conversation.
Operator: . And at this time, there are no audio questions. I'd like to turn the call back over to Clay.
David Bretches: Okay. Thank you for joining us on our call today. I'd like to leave you with the following closing thoughts: On the whole, our JV pipelines are on track and delivering as expected; the natural gas pipelines are full and performing as planned; and we see upside potential in our liquids pipelines as drilling activity increases in the Permian Basin. Our G&P business is running very well. We have a very competitive, low-cost operating structure in place. The volume outlook has improved and costs are in check. We are operating safely and carefully to protect our environment. While we are pleased with our performance, we continue to look for ways to more fully utilize our asset base and efficiently grow our business. I look forward to keeping you apprised of our progress on these fronts. Operator, I will now turn the call back to you.
Operator: Thank you for your participation. This concludes today's call. You may now disconnect.